Operator: Thank you for standing by. My name is Jail, and I'll be your conference operator today. At this time, I would like to welcome everyone to the Perdoceo Education Corporation Third Quarter 2024 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. I would now like to turn the conference over to Nick Nelson, Investor Relations. You may begin.
Nick Nelson: Thank you, operator. Good afternoon, everyone, and thank you for joining us on our third quarter 2024 earnings call. With me on the call today is Todd Nelson, President and Chief Executive Officer; and Ashish Ghia, Chief Financial Officer. This conference call is being webcast live within our Investor Relations section at perdoceoed.com. A webcast replay will also be available on our site, and you can always contact the Alpha IR Group for Investor Relations support. Let me remind you that this afternoon's earnings release and remarks made today include forward-looking statements as defined in Section 21E of the Securities Exchange Act of 1934. These statements are based on assumptions made by and information currently available to Perdoceo Education and involve risks and uncertainties that could cause actual future results, performance, business prospects and opportunities to differ materially from those expressed in or implied by these statements. These risks and uncertainties include, but are not limited to, those factors identified in Perdoceo's most recent annual report on Form 10-K and subsequent filings with the Securities and Exchange Commission. Except as expressly required by the securities laws, the company undertakes no obligation to update those factors or any forward-looking statements to reflect future events, developments or changed circumstances or for any other reason. In addition, today's remarks refer to non-GAAP financial measures, which are intended to supplement but not substitute for the most directly comparable GAAP measures. The earnings release that accompanies today's call contains financial and other quantitative information to be discussed today as well as the reconciliation of the GAAP to non-GAAP measures and is available within the Investor Relations page of the company's website. With that, I'd like to turn the call over to Todd Nelson. Todd?
Todd Nelson : Thank you, Nick. Good afternoon, everyone, and thank you for joining us for our third quarter 2024 earnings call. I'll discuss some key highlights for the quarter. Ashish will then review our operating and financial performance and discuss our outlook for the year. However, before we begin, I'd like to thank our faculty, student support staff and all other employees for their ongoing commitment and hard work in serving and educating our students. We continue to experience strong levels of student retention and engagement across both our academic institutions. As a result, third quarter operating results came in ahead of our expectations discussed on the last earnings call. Let me now review some of the key observations and general highlights. We continue to experience high levels of student retention and engagement at both CTU and AIUS, with retention remaining at multiyear highs. Our faculty and student support teams remain dedicated to educating and serving our students while serving federal student aid initiatives have also had a positive impact on our retention. Marketing expenditures for the quarter were higher as compared to the prior year as operating -- operations within AIUS reverted to normalized levels as compared to the prior year quarter. We continue to leverage data analytics for various marketing strategies to further improve our focus on identifying prospective students who are more likely to succeed at one of our universities while also complying with and adapting to updated expectations from various federal agencies around prospective student outreach. Our commitment to enhancing students' academic experiences and student support services through technology remains a priority. We see technology as a key driver of our success and are dedicated to making targeted investments while exploring AI-based solutions across various student support processes. Lastly, a quick update on the pending acquisition of the University of St. Augustine. The acquisition marks Perdoceo's foray in the health sciences field in a meaningful way as it will significantly increase the number of students we serve in the field, especially at the master's degree level and higher. The acquisition will also support further growth and diversification of our academic program offerings. We expect the acquisition to be accretive to our adjusted operating income beginning in 2025 and are excited with the potential growth opportunities that will bring to Perdoceo in years to come. A quick note on the operating results. Third quarter results exceeded our expectations as we reported net income of $38.3 million or $0.57 per diluted share while adjusted earnings per diluted share, which excludes certain non-cash items, were $0.59 as compared to our outlook of $0.52 to $0.54. From a student enrollment perspective, total enrollments for the third quarter grew 13.6% at CTU, driven by a positive timing impact of our academic calendar as well as growth in corporate engagement programs. As previously discussed, AIUS reverted to normalized operations during the fourth quarter of 2023, and consistent with our expectations after several quarters of experience of decline, total enrollments for the third quarter grew by 4%. We also expect to show total student enrollment growth for the fourth quarter at AIUS. In closing, we remain focused on serving our students while further enhancing academic outcomes and student experiences. We are pleased with total enrollment growth across both our academic institutions and expect to close the year on a high note as it relates to student retention and engagement. With that said, I'd like to turn the call over to Ashish for a more comprehensive review of our operating and financial performance. Ashish?
Ashish Ghia : Thank you, Todd. I will now review the third quarter results and then discuss our balance sheet and 2024 outlook before handing the call back to Todd for his closing remarks. Please note all comparisons discussed on this call are versus the comparative prior year period unless otherwise stated. Please also note that any total student enrollment numbers or any enrollment trends that are referred to on this call exclude learners pursuing non-degree-seeking professional development programs and degree-seeking non-Title IV self-paced programs at our universities. Let us begin with an overview of our operating results. Net income for the quarter was $38.3 million or $0.57 per diluted share compared to $41.3 million or $0.62 per diluted share. Adjusted earnings per diluted share, which we believe is more indicative of the underlying operating performance, were $0.59 as compared to $0.64. Please note that the prior quarter included a non-recurring federal income tax benefit of approximately $4.5 million, equating to $0.07 per share benefit to prior year EPS. Excluding the positive impact from this benefit, current year EPS and adjusted EPS would be higher than the prior year. Third quarter operating income of $44.8 million was $1.7 million higher as compared to the prior year quarter. As expected, revenue for the quarter was lower by $10.1 million, which was more than offset with $11.8 million of lower operating expenses. This expected decrease in revenue was primarily due to a lag impact from 2023 operational changes at AIUS as well as the academic calendar comparability and changes within professional development offerings at CTU. Operating expenses during the third quarter were favorable due to general expense efficiencies and certain non-recurring charges in the prior year quarter that benefited year-over-year expense comparability. Additionally, we continue to realize cost savings from rightsizing processes and operations that support our professional development offerings at CTU while we continue to focus on delivering academic programs more effectively and efficiently and investing in student processes that we believe will further enhance the overall value proposition of our academic institution. Adjusted operating income, which we believe is more indicative of the underlying operating performance and excludes certain significant and non-cash items, was $48.6 million for the third quarter as compared to $47.2 million. This increase was primarily due to lower expenses that I just discussed, which more than offset the lower revenue for the quarter. Overall, on a year-to-date basis, total operating expenses were $59.8 million lower as compared to the prior year while revenue was $57.3 million lower. Third quarter revenue of $169.8 million was 5.6% or $10.1 million lower as compared to $179.9 million with the decrease being expected for the reasons I just discussed. For the fourth quarter of 2024, we expect double-digit revenue growth for the company with both academic institutions contributing this -- to this due to organic total enrollment growth that has been supported by strong retention and engagement. Additionally, AIU System has reverted to normalized operations since the beginning of the year while fourth quarter revenue days at CTU will contribute positively to the year-over-year revenue comparability. A note on total student enrollments. Total student enrollments at CTU increased by 13.6% as compared to the prior year quarter end, primarily driven by growth in corporate engagements and a positive impact from the academic calendar comparability carrying over from the first quarter. At AIU System, total student enrollments at September 30 increased 4% as compared to the prior year quarter end, which was ahead of our expectations. We have continued to show year-over-year improvements in AIU Systems total enrollment trends since marketing and student enrollment activities begin to normalize in the fourth quarter of 2023, and we expect to end the year with double-digit total enrollment growth at AIU System. Now to our segment results. Third quarter revenue at CTU decreased by 4% to $115.7 million, primarily due to lower number of revenue days as well as changes within CTU's professional development offerings. Excluding the academic calendar comparability impact, revenue would have shown mid-single-digit growth at CTU, supported by growth in corporate engagements and high levels of student retention and engagement. Operating income increased to $44.2 million for the quarter from $34.5 million in the prior year, primarily due to cost efficiencies associated with our professional development offerings. The prior year also included certain non-recurring charges that benefited year-over-year expense comparability. At AIU System, third quarter revenue was $53.9 million or 9% lower than the prior year quarter, which was in line with our expectations due to the continuing lag impact from the operational changes we made last year. However, the impact of this lag will be fully annualized by the fourth quarter, and we expect AIU System to experience revenue and enrollment growth for the fourth quarter. Operating income was $9.1 million versus $15.6 million in the prior year quarter, driven by the lower revenue and normalized levels of marketing spend during the quarter. Moving on to Corporate and Other. Operating loss for the third quarter was $8.5 million as compared to $7 million in the prior year quarter. As it relates to income taxes, for the third quarter, we recorded a provision for income taxes of $14.1 million, which reflects accruals for federal and state corporate net income tax, resulting in an effective tax rate of 26.9%. The effective tax rate for the quarter reflects federal tax credits claim for the 2023 tax return as well as the tax effect of stock-based compensation and the release of previously recorded tax reserves, the combined impact of which reduced the effective tax rate by 0.6%. As a result, we now expect our full year 2024 effective tax rate to be between 26% and 27%. Please also note that the effective tax rate for the quarter ended September 30, 2023, reflects a $4.5 million favorable non-recurring tax benefit, which decreased the effective tax rate for the prior year quarter by 9.3%. Now to our balance sheet and liquidity. For the year-to-date ended September 30, 2024, net cash flows provided by operations were $144 million versus $98.8 million in the prior year-to-date. The increase in cash flows provided by operations was primarily driven by the timing of working capital payments and Title IV drawdowns as well as certain compensation-related payments. We ended the quarter with $722.6 million of cash, cash equivalents, restricted cash and available-for-sale short-term investments. This represents an increase of approximately $118.4 million since the end of last year. Through the year-to-date ended September 30, we have returned $29.9 million of cash to our shareholders in the form of dividend payments and share repurchases and paid approximately $35 million in estimated federal and state income taxes. Capital expenditures for the third quarter were approximately $1 million or 0.6% of revenue. As a reminder, for full year 2024, we foresee capital expenditures to be approximately 1% of revenue. Before I share the updated outlook, let me take a minute to discuss capital allocation. We are pleased to announce that consistent with our dividend policy, today, the board of directors approved the third quarter 2024 dividend payment of $0.13 per share, which is an increase from the prior year quarter payable on December 13, 2024, to the holders of record of Perdoceo's common stock at the close of business on December 2, 2024. Future quarterly dividend payments are expected to be paid out of free cash flows for the relevant year, subject to Board approval and the company's available retained earnings, financial condition and other relevant factors. Subject to the requirements just mentioned, we continue to expect that quarterly dividends will be an integral and growing part of our balanced capital allocation strategy. Our balanced capital allocation strategy also prioritizes investments in organic projects, in particular, technology-related initiatives designed to benefit our students and maintain a strong balance sheet while also evaluating diverse strategies to enhance stockholder value, including acquisitions. Speaking of the University of St. Augustine acquisition, we are diligently working through the regulatory approvals, processes and other deliverables and expect the transaction to close in December. As a reminder, this is an all-cash deal, and we expect to pay approximately $142 million to $144 million in net cash at the time of closing. For the full year 2023, the university had revenues of approximately $170 million, operating income of approximately $35 million and serve roughly 4,500 graduate and postgraduate students. We expect the acquisition to be accretive to our adjusted operating income beginning in 2025 and will be treated as a separate segment for external reporting purposes. Now let us discuss our updated outlook for 2024. Based on better-than-expected student retention and engagement trends, we now expect full year 2024 adjusted operating income to range between $188 million and $191 million as compared to the previously provided range of $175 million to $190 million and 2023 adjusted operating income of $174.9 million. Adjusted earnings per diluted share is expected to range between $2.25 and $2.28 versus $2.10 in 2023. For the fourth quarter of 2024, we expect adjusted operating income to be in the range of $39 million to $42 million as compared to $19.4 million in the prior year quarter with adjusted earnings per diluted share to range between $0.46 and $0.49 per diluted share versus $0.27 in the first quarter of 2023. This outlook reflects our current beliefs that the high levels of student retention and engagement we experienced over the past few quarters, partly supported by the positive impact of various federal student aid initiatives, will continue to persist through the remainder of '24. Full year revenue at CTU is expected to be lower than 2023, primarily due to simplification of our professional development offerings. Excluding this impact, full year revenue at CTU would be higher versus the prior year despite lower revenue days in 2024. Growth in our corporate engagement program and high levels of student retention and engagement are expected to mostly offset the impact from lower revenue days and support full year revenue and total enrollment growth for the year-end 2024. At AIU System, full year revenue is expected to be below 2023 levels due to the lag impact of lower beginning total enrollments as AIU System continues to operate within normalized levels of marketing and admissions. While also experiencing strong levels of student retention and engagement, we expect revenue and total student enrollments to grow in the fourth quarter. As disclosed in our most recent Form 10-K, the Department of Education has gone through and continues to go through additional negotiated rule-making processes while also updating interpretations and providing new guidance on various other topics. While we continue to monitor and evaluate these rule-making initiatives as well as new or updated guidance coming from the department, any further operational changes that are necessary to ensure compliance with the department rules and interpretations could have an impact on the outlook I just presented. Our 2024 outlook also assumes selective investments in technology, data analytics, academics and student support processes. We believe these investments have been successful in positively impacting academic outcomes and student experiences. We will also continually evaluate the size and resources of our academic institutions' corporate engagement teams. Please refer to our earnings release filed today for important information about the key assumptions and factors underlying this discussion from today's call as well as the GAAP to non-GAAP reconciliations. With that, I will turn the call over to Todd for his closing remarks. Todd
Todd Nelson : Thank you, Ashish. In summary, our academic institutions remain focused on serving and educating students, and our investments will continue to prioritize student experiences and academic outcomes. I'd like to thank all of our students and staff once again for their ongoing hard work and education. Thank you again for joining us.
Operator: This concludes today's conference call. You may now disconnect.
End of Q&A: